Operator: Good morning and welcome to our presentation for Q2 2022. My name is Svenn-Tore Larsen. And as always, I have my CFO, Pal Elstad, with me. In these turbulent times, despite all the challenges we had with wafer supply for Bluetooth and also the filter challenge we had for cellular IoT, I'm glad to report that revenues in the quarter were record. We passed $200 million in the quarter for the first time. If you look back, this is what we had in annual revenue back in 2016.  Overall, we delivered 36% revenue growth in the quarter. The frustrating thing is that it could have been significant higher if overcapacity had been not impacted by wafer supply. We had severely impact of wafer supply this quarter also.  Gross margin remains a solid 55.4%. Pal will get back to that. This generated a 48% increase in gross profit, up to $111 million.  EBITDA increased by 78% to $52 million with an EBITDA margin of 26% for the quarter. We see a stable outlook for Q3 and we will remain having supply challenges. And the revenue guidance will be $190 million to $210 million. And we also expect that our gross margin will stay above 54%. And I want to reiterate that our long-term outlook stands firm. Given the persisting supply chain constraints, we continue to work with our end customers and distributors to adjust order volumes to better match the actually delivery capacity we have. Our order backlog was taken down 9% in the first quarter. And we did an additional 9% also here in the second quarter. But the fact is that our order backlog remains at a significant higher volume than our supply capabilities. And until the wafer supply situation is resolved, you should therefore expect that we will continue to trim our backlog and adjust going forward. We also see that inventory remains low throughout the value chain. And we see no signs of inventory buildup. Our inventory stand at just about 30% of overall quarter revenue, which is extremely low in a historic context. And most of the inventory is works in progress. We see on the design win that our position in the broad market remains strong and our share of Bluetooth design certification is still around 40%. If you look at the numbers, you will see that most of the quarter has been the same, around 100 designs. But in the meantime, the value of Bluetooth market has increased significantly. That really shows that the value per design has increased.  We also see that trend very easily in the Nordic numbers. If you look, we see that our higher featured parts with higher ASP and higher volumes, which leads to $200 million this quarter.  We continue to see a steady stream of new products being launched with Nordic inside, both in Bluetooth and cellular IoT. Worth noting this time around is the world's first cellular IoT watch, powered by 9160. If you recall, really started actually with a lot of sports watches, now we see our first cellular application in our watch.  Other noteworthy news this quarter includes our launch of the 5340, the audio development kit. In the last quarter, we highlight some of our customers, especially Sennheiser has chosen Nordic for a new audio product. We now see that our first LE Audio customers are entering into volume production.  Bluetooth SIG calls LE Audio the future of wireless sound, and we are in the position to accelerate the development of next generation wireless audio projects. This new kit also uses the most advanced SoC we have to take advantage of the Bluetooth 6, a new standard called Auracast. Itâs a standard to broadcasting of sound to multiple devices. This will open new applications for many new users.  Another important event was the launch of our Thingy:53. Itâs a prototyping platform. The customer can basically plug it into the PC and have an IoT application. This is a platform with multiple sensor and multiple connectivity standard, which also include machine learning capabilities for IoT edge processing.  As we earlier have said, we want to take a larger share of our customersâ PCB. And this platform combines actually three different Nordic products. Itâs powered by our most advanced dual core system, the nRF5340. We also have the extend range, the 21540. And we also have put on the nPM1100, which is a PMIC. So, basically, here we have an application with three Nordic chips. Our cellular IoT, we warned about slow revenue in Q2 because we had this filter that was sort of not up to the spec. We sorted out that filter. And from end of June, we basically have a full production lineup running. And this means that the growth trajectories that stopped second quarter will be back on the second half of this year. So, we expect a significant growth in second half. And we are currently working with hundreds of different cellular IoT products. And we see some of them have started to show some commercial traction. Creating next generation of IoT innovators. That's always been Nordicâs mission. And we are backing initiatives that support cellular IoT innovation, like Tributech smart IoT product challenge, which was this spring. As always, our technologies are versatile and go into different end user market application. And this competition that run this spring was won by a healthcare project tracker and a secure storage box, but it just seems that we contribute to these initiatives and we see the signs coming out regularly.  Picking up on our work to secure our customersâ access to cellular IP, you might remember from Q1 that we joined forces with Nokia to secure access to their standard essential patents on device level. This quarter, we have signed our highly innovative agreement with Huawei on the component level. Huawei licenses the right directly to Nordic with implications that all Nordicâs 9160 customers are covered, regardless of end product type. I think this is an important step forward, adding transparency and predictability early in the process for our customers. And I think we are jumping an obstacle to widespread adoption of cellular IoT by having these licenses in place.  Finally, before handing over to Pal to do the financials, I would like to mention a small but very exciting technology acquisition. We had reached an agreement to acquire mobile semiconductor and a small team in Seattle, which we know very well from past. We're using the ultra-low power memory technology in existing parts. And they also are engaged with us now for three, four years with the next generation of Nordic products.  We know that ultra-low power operation is an absolute critical requirement. And when the opportunity arose to get these guys, we were really happy to bring this technology in-house.  With this, I'll leave it to Pal. Thank you.
Pal Elstad: Thank you, Svenn-Tore. I will now go through the Q2 financials. Nordic, as you mentioned, Svenn-Tore, continues the strong reported revenue growth as we've achieved in the previous quarter. Revenue came in at the middle of the US dollar $190 million to $210 million guidance range, so we ended up at $200 million.  As we already mentioned, revenues increased by 36% despite the wafer supply constraints and the lacking components in cellular IoT. The growth from last year was a mix of volume and price. The mix from last quarter is an effect of higher volumes as the price increase was fully absorbed in Q1.  Looking at the different technologies, the year-on-year growth was actually strongest in the proprietary segment with 45% growth. Proprietary revenue has generally been very strong since the start of COVID-19 with high demand for PC accessories and other home office equipment as well as gaming, virtual reality, fitness equipment, et cetera. However, revenue has particularly been high in the past couple of quarters. And given that more people are expected to return to work and consumer sentiment has weakened, we're prepared for lower demand in the segment going forward.  It's important to remember that back before COVID, we expected a gradual decline in proprietary revenue where each revenue over the 12 past months is 60% higher than in 2019. And only 10% of the total revenue. Actually back in 2019, we estimated a 10% decline annually as a lot of the proprietary customers will shift to Bluetooth.  The increase in Bluetooth revenue over the past year reflects both price increase and the more favorable product and customer mix and slowly increasing wafer allocations. However, demand is still significantly higher than supply and wafer shortages will continue to cap revenue in the near term.  As Svenn-Tore already mentioned, demand for cellular IoT is increasing. However, our delivery capacity, as has been mentioned before, been held back by component shortages in the first half year.  As presented last quarter, we, effective Q1 2022, did a change in how we report in different markets. We have done this change in order to better align the numbers to how we manage sales, but also who is the end customer. So we differentiate between consumer and business-to-business customers. Cellular IoT is mixed into these different markets.  When you look at the various markets, it's important to emphasize that growth patterns reflect product allocations more than underlying demand. Several are for large customers and prioritized customers are, for example, in the consumer market. So, we do allocate more to the consumer, although demand in some cases is large also in healthcare and industrial.  Just as for overall revenue, individual markets show a strong growth compared to last year and relatively flat compared to last quarter. So, I'm not going to go into detail, but, for example, consumer had a 35% growth versus last year and healthcare had a really strong 74% growth compared to last year. And a lot of the same products that we've been discussing in previously quarterly reports, especially related to drug delivery systems.  Others is a large part the module customers Nordic has. Gross profit increased by 48% to $111 million in Q2, up from $75 million a year ago. So, the gross margin was 55.3% compared to 50.9% in the same quarter last year. You see a downturn compared to the last two quarters. However, as I mentioned in the Q1 presentation, in both Q4 and Q1, we had a positive effect of the price increase and the delay in depletion of the inventories.  Adjusted for this inventory effects in Q4 and Q1, we guided then for an ongoing gross margin of 54%. Weâre slightly higher than that, mainly driven by a favorable product and customer mix.  Iâll now turn to the operating model for this quarter. The numbers on this slide reflects reported numbers. First of all, the strong reported revenue in quarter has resulted in improved KPIs, although the underlying absolute spending has increased as we grow the business. Although volume growth currently is being capped, we have seen significant margin expansions as a result of stronger gross margins. So, total reported R&D spending at just below 19% â 20%, sorry. So this is the first time we are under 20%, down from 21.3% last year. So, this quarter, we capitalized $1.8 million, down from $2.4 million a year ago. Capitalization is now mainly related to the Wi-Fi products. As we've communicated earlier, weâll come into the market very soon. Going forward, capitalization will probably more shift to the Bluetooth products as we are, as you know, certainly introducing new BLE products in the market. In absolute numbers, R&D investments increased from $31 million last year to close to $40 million this year. It's more or less stable in all the different business lines.  During 2021, due to COVID-19 lockdown, we experienced very low SG&A expenses. However, we do see activity picking up, especially travels and marketing, which was of course very low. So, absolute numbers have increased from $14.5 million a year ago to $19 million this year.  Overall, EBITDA of close to $52 million or 25.9%, a slight decrease from $54.7 million, over 29% last quarter. But of course that was positively impacted by the depletion of the inventories I just mentioned. Short-range EBITDA margin, very strong and is consistently well above 30%.  Just briefly, on the total cash operating expenses, which amounted to $58 million in Q2, when adding back capitalized development expenses and equity-based compensation, this compares to $47 million a year ago, representing an increase of 23%. If you just look at salary level, salary cost of $37 million, which is up 12% from last year's $33 million, so a 12% decrease. We've increased employees by 20% now to just above 1,300 employees. The reason the cost increase is less than the actual number of employees is that, during Q2, we've had a very favorable effect on foreign currency as the NOK has significantly been weakened compared to the US dollars. This actually gives us a $2 million to $3 million positive effect on the costs. So, adjusted for this, the salary increase would have been more or less 18%, or closer to the number of added people.  Other cash operating expenses were at $21 million in Q2 compared to 14% a year ago. I just mentioned the travel and marketing expenses, but also we've had very high tape-out activities in Q2.  So, we are hiring top talent over the last five years. Adjusted for one small acquisition of the Imagination team, we've doubled our organization organically. This has been possible in even more scarce talent pool. We've done this by increased management focus on hiring talent. We've revised then the reward strategy. We are increasing our employee branding activities. And we are working much more closely with partners. So, we are really investing in the future of our workforce. Actually, this year, we have 117 active students in Norway, Finland, Sweden, UK and Poland working over the summer months.  CapEx in Q2 was $4 million, down from $10 million a year ago, but more or less the same level as we've had the last quarters. When we look back a year ago, we did a very high investment to beef up the capacity on testers, so that when we get wafers in, we can quickly turn them to finished goods. Going forward, investment levels will really be to maintain this capacity. So, this quarter, we were at 2%. For this full year, we expect around 3% in CapEx intensity.  Finally, on cash flow, we continue the positive cash generating effect we've had in the previous quarters. During q2, we added $60 million to cash balance, which ended at $320 million. This was really driven by a strong operating cash flow of $30 million, which came as a result of $50 million EBITDA, only partly offset by increased working capital.  We do see an increase in net working capital of $25 million this quarter, mainly driven by higher accounts receivables. Back a year ago, net working capital was below $20 million. We have communicated that, in the more normalized situation, net working capital will increase.  Also in the quarter, we have increased our RCF, revolving credit facility, from the original $65 million to now $150 million. We've also made it sustainability linked, so that our sustainability KPIs are now linked to our RCF.  Svenn-Tore, I'll handle over to you to go through the outlook for Q3.
Svenn-Tore Larsen : Thank you, Pal. We expect a stable Q3 due to severe supply challenges. And I think that this forecast is only based on wafer allocations as you see it by end of Q2. And we expect that wafer can or will be higher in fourth quarter. Gross margin, we guide for the same range as we delivered now or a bit above, at least above 54%.  We are doing whatever we can to expand our capacity both long term and short term. And we are planning for multi sourcing of wafers and other components to be in place as soon as possible.  As I went through on our last presentation, we are developing new technology platforms across our short range, mid range and long range technology. And we will be deploying leading processes. This is technologies that are optimized for IoT. This means both expand the capacity and disrupt the performance offering for the features really required for the future IoT applications.  The first short range product should start ramping towards the end of next year and will be a key enabler for order growth beyond 2023. And remember here, we have come to $200 a quarter based on Bluetooth and small contribution from cellular IoT. Going forward, we will have Wi-Fi in the portfolio and we have all the other adjacent component like PMIC. So, we are very excited about the future and we're going to see that strong pickup in 2023 where we get these new technology platforms out there in the market.  Our outlook stands firm. We are on track for our $1 billion next year. And we aim to more than double revenue between 2023 and 2026.  With that, I thank you for listening into us and open for questions. Pal, can you join me? You see any questions on the Web, StÃ¥le?
A - StÃ¥le Ytterdal: Let's start with the first question about revenue. This comes from Adam at Bank of America. How should we think about the sustainability of pricing and product mix benefits into 2023?
Svenn-Tore Larsen: I think the pricing in the market is very much determined by the fabs and the wafer suppliers. What we see is that there is a lot of speculation about increased pricing from fabs in 2023 and, obviously, over-pricing will reflect the cost of our products. So, I expect it, unfortunately, to be increased in 2023 on pricing.
StÃ¥le Ytterdal: Then we have a question from Henriette Trondsen, Artic. Can you quantify the segment split for the Q3 guidance? What you are expecting for growth in BLE, proprietary and cellular? And also the statement of significantly higher revenue in cellular. 
Svenn-Tore Larsen: We are guiding on the statements during the presentation and we are not guiding on each segments. And obviously, we will not be able to also quantify cellular yet. We need to see how much we are going to be able to produce, but we are getting a significant higher throughput through our fabs in Q3 than we did in Q2 and the demand is there.
StÃ¥le Ytterdal: Then we have a question from DNB, BjÃ¸rnsen. You say that the Q4 wafer allocation will allow you to generate revenue for the full-year 2022 keeping you on track for more than $1 billion in 2023. Do you think it's fair to assume growth is likely to be higher in 2022 than in 2023? Or should we expect there will be a unique situation in which increased wafer allocation in 2023 means growth will accelerate?
Svenn-Tore Larsen: I hear the question, but that's a philosophic question. Itâs very much dependent on the rest of the market. And we believe that as soon as there is any softening at our competing applications, Nordic will get more wafers. And we see that the new customer base we've been generating over the last years are under supplied today and they are screaming for parts every day. So, if they get more availability for Nordic, the growth could be different than how it looks today. Today, we are calculating based on existing capacity support plan from vendors. We really hope itâs going to change.
StÃ¥le Ytterdal: We go over to demand. Adam Angelov from Bank of America. We frequently hear news about weak PC demand, but you still see high demand for PC accessories for home offices and gaming. How do you explain the disconnect?
Svenn-Tore Larsen: I think we are seeing some softening in pockets of the markets. And we just need to rely on the forecasts from our customers. And when we are doing this presentation, we reflect what we see in our forecast, but obviously following very close the market. But remember that the PC market, it's not a significant part of our business. So, the Bluetooth business is the significant part of our business and there we see extreme demand.
StÃ¥le Ytterdal: Then we have a question from Rob Sanders, Deutsche Bank. Which consumer categories have started to weaken? If you achieve $1 billion in 2023, what growth do you expect for consumer overall in 2023?
Svenn-Tore Larsen: As you see on our design win chart, we are getting more and more industrial applications. We also are getting more cellular IoT application will contribute. So, in the consumer side, we still get relatively new tier one customers with new products in the market with significant higher volume on the end product than the ones we â the customers we used to have. So, a combination of non-consumer with weakening of existing consumer doesn't drag the growth down.
StÃ¥le Ytterdal: And I think we have a question here from Christoffer at DNB. It's similar, but I think we should take it. Consumer revenues was flattish in Q2 compared to Q1 and the CFO commented consumer is assumed to be weaker going forward. So you basically expect healthcare and industrial to make up for weakening consumer in Q3 and Q4. How confident are you in this?
Pal Elstad: I don't think I said weaker in general. Svenn-Tore mentioned, we see pockets of weakness. Overall, we have, as Svenn-Tore mentioned, lots of large customers also in the consumer that we have been prioritizing over the last few quarters and revenue will still come from these areas. But, correct, industrial and healthcare will be strong going forward.
StÃ¥le Ytterdal: Then we have a follow-up on BjÃ¸rnsen here. It seems you are assuming a shift to more healthcare and industrial revenue in Q4 as you allocate more to these customers. Should we expect to have a positive or negative effect on gross margin relative to Q2 and Q3?
Svenn-Tore Larsen: We have guided the margin to be above 54%. So, that means that it shouldn't have much effect. If it should have an effect, it could be more on the positive side.
StÃ¥le Ytterdal: Lodgaard from ABG. How do you see demand develop within industrial and healthcare? Itâs the same.
Svenn-Tore Larsen: I can answer. Very strong.
StÃ¥le Ytterdal: Supply capacity. Question from Rob Sanders, Deutsche Bank. You mentioned GlobalFoundries and SilTerra as new foundry being qualified in your credit present. What is the timing of volume ramp up?
Svenn-Tore Larsen: 2023 and 2023.
Pal Elstad: So you had a slide on that first products will be out there next year.
StÃ¥le Ytterdal: Henriette Trondsen, Arctic. There has been articles on requirements for prepayments for future deliveries of wafers or that TSMC will have additional price increase. Can you comment on this?
Pal Elstad: I will start on the TSMC, Svenn-Tore. And we've also read about this price increasing coming up, and there is a general inflation in the market. So we just have to take that into account when it actually happens.  In relation to the other question, we've said that we are working on both short term, midterm and long-term arrangements with all our vendors and to expand our sourcing options, but don't want to go into details about technologies or financing at this point.
StÃ¥le Ytterdal: We have another question from Henriette, Artic Securities. There has been indications from some companies, in particular within the automotive space, of improved wafer relocations. Can you also comment on this in relation to your target bond issue, which we understand was partly to secure component to meet the demand?
Svenn-Tore Larsen: It was basically two questions in one. Let me take the first. You answered the second part of the question already. But we see also the same articles that there is ease up in automotive. We can read it weekly, but we don't see that reflected in the support plan from our vendors. So, we have to relate all our guiding on what's the support plan at the moment when we do the presentation. And there has been no change to our capacity support plan as of end of Q2.
StÃ¥le Ytterdal: Then we have a question from Ali Shamari  from Danske Bank. How do you assess the news of new potential lockdown in China due to BA.5, that's the new virus?
Svenn-Tore Larsen: We haven't had time to consider that, but we saw when they had been lockdowns in China, it has not affected us very much, Pal.
Pal Elstad: Our customers have been relatively agile and able to maneuver around the COVID situation.
StÃ¥le Ytterdal: Then we have a question from Johannes Reese . Why do you not see the over-the-high wafer supply in Q3 given the weakness in consumer areas like mobile PC?
Svenn-Tore Larsen: The thing is that wafers are not only wafers. Itâs different nodes and some nodes are more constrained than others. For Bluetooth, we are running a node that very, very constrained. For PC peripherals, weâre running another node. And you're right, there is not as constrained on the 0.18 node as we call it as on the 55 nm node which we use for both BLE and our cellular IoT products.
Pal Elstad: And the 55 nm is in deep competition with automotive. And you commented that automotive is weakening, but that's nothing we've seen in our capacity for now.
StÃ¥le Ytterdal: We have a question from DNB, Christoffer, regarding demand. I totally buy into your story that demand is ahead of supply and that supply is the main issue. However, the market is seemingly not buying this as it thinks you are blind to what is going on in the world. Just to be clear, you have some orders being cancelled, right? Just not nearly enough to align demand with supply capacity?
Svenn-Tore Larsen: I have to just think two seconds. The important thing is that, if you look back and look at design win registration in the last years, it's been hundreds of design wins which are getting into production. So, our situation is that we have so many designs that we are under supplying at the moment. So, we are in a situation that if some pockets ease up, itâs advantage for us to support a broader customer base. You can see that very well, Pal, on our inventory, which basically now are record low and it's mainly wafers in works. We would have loved to see more supply. And if there come a shock of supply to Nordic, we have plenty of customers to distribute the wafers.
StÃ¥le Ytterdal: Then we go over to backlog from UBS. What is the level of backlog you would feel comfortable about to accept all incoming orders again?
Svenn-Tore Larsen: Two quarters. That's a normal backlog we used to have if everything is normal in supply chain. So, that means $400 million then if we see from Q2 numbers.
StÃ¥le Ytterdal: Then Henriette Trondsen from Arctic. What is the lead time for the backlog? How much of the backlog is within the next 12 months?
Svenn-Tore Larsen: I haven't analyzed lately, but 90%?
Pal Elstad: Difficult to say.
Svenn-Tore Larsen: We don't accept orders. We are trying not to accept orders outside the 52-week window. And we have been adjusting order backlog also to reflect that.
StÃ¥le Ytterdal: Then we have Petter Kongslie, SpareBank 1. Can you give any comments on net new demand in the backlog?
Pal Elstad: Now, as we say, the lead time is still much longer than our forecast period. So, it's difficult to give that.
Svenn-Tore Larsen: I can give an example of products that we are under shipping. For example,  labels that we are shipping to customers, less than 50% of the need. Itâs new verticals with significant volume, which we are not able to fulfill.
Pal Elstad: And then the China wearable markets which used to be very strong. I know that that entire market is going down today, but we are not shipping it. So, the potential is still to ship even if the market is down. We still have customers there demanding products.
StÃ¥le Ytterdal: Petter Kongslie has one more question. What do you mean about demand is larger than supply? Is that related to demand that already is in the backlog that feeds current wafer supply or that the delta in new order intake exceeds supply?
Svenn-Tore Larsen: That's something you can read from the numbers. Obviously, we are pushing out more than 170 million units from Q2 into Q3 and on forward, and we are not, as we said, pushing for orders to sort of increase the backlog when we don't get increased supply.
StÃ¥le Ytterdal: We have a question from Ali Shamari, Danske Bank. How much do you expect to adjust your backlog for Q3 and fiscal year 2022?
Svenn-Tore Larsen: It very much depends on if capacity support plan increases, maybe we don't need to push too much. So dependent on supply.
StÃ¥le Ytterdal: DNB is coming up with one question here. But you have seen some cancellations? 
Svenn-Tore Larsen: Yes, we are seeing some in AI. We are. That's one of the when I call pockets of weakness, but very little cancellations.
StÃ¥le Ytterdal: And Johannes Reese is asking, where do you see higher growth, large customer or in the long tail?
Svenn-Tore Larsen: For definitely large customers. New projects at existing customers with higher volume and higher complexity than previously.
Pal Elstad: But I think it's also important to point out that we've had a strategy over the last years to not only prioritize large customers, but also to entertain the long tail customers. So if there are some exciting long tail projects, that was a great opportunity to start supporting them. 
Svenn-Tore Larsen: If that becomes a weakness. That's really the thing. If we see the softness picking up, we can start supporting the longtail much better than we've done up till now during this supply chain constrained situation.
StÃ¥le Ytterdal: Then we have some questions regarding PMIC. Adam from Bank of America. When should we start see PMIC revenue reported separately and become material revenue stream?
Svenn-Tore Larsen: We start seeing revenue on PMICs today. It's mostly included in others. And when it's meaningful revenue, we will break it out as an own segment.
Pal Elstad: So, the reason PMIC has been slow is that the available capacity we have allocated to the PMICs we produce for the cellular module, which was the first version we made, as of till now, we've had very limited capacity on wafers for PMICs.
StÃ¥le Ytterdal: And then we have a follow-up from Johannes Reese. How important was the PMIC products in Q2, importance of this category in your backlog?
Svenn-Tore Larsen: As Pal just explained, the PMIC is utilizing the same node. And it's actually the same PMIC that goes into our own cellular IoT module. So, as itâs a very constrained node, we are using PMICs from that node to build our cellular IoT products.
StÃ¥le Ytterdal: You have two more questions on supply capacity. Rob Sanders. You mentioned GlobalFoundries and SilTerra as new foundries being qualified in your credit presentation. What is the timing of volume ramp up?
Svenn-Tore Larsen: End of 2023
StÃ¥le Ytterdal: Henriette Trondsen, Arctic Securities. There has been articles on requirements for prepayments for future deliveries of wafers. I think we answered that.
StÃ¥le Ytterdal: So, I think with that, we conclude. Those were all the questions. Thank you very much. 
Svenn-Tore Larsen: Thank you very much. 
StÃ¥le Ytterdal: And have a great summer. 
Svenn-Tore Larsen: Take care. Bye-bye.